Ken Cooper: Good day, and thank you for standing by. Welcome to the Q4 2024 Tile Shop Holdings, Inc. Earnings Conference Call. After the speaker's presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Ken Cooper, Investor Relations. Please go ahead. Thank you. Good morning to everyone. Welcome to the Tile Shop Holdings, Inc. fourth quarter and full year earnings call. Joining me today are Cabell Lolmaugh, our Chief Executive Officer, and Mark Davis, our Chief Financial Officer. Certain statements made during the call today constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in our earnings press release issued earlier and in our filings with the SEC. The forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update these forward-looking statements. Today's call will also include certain non-GAAP measurements. Please see our earnings release for reconciliation of those non-GAAP financial measures, which has also been posted on our company website. With that, let me turn the call over to Cabell Lolmaugh.
Cabell Lolmaugh: Thank you, Ken. Good morning, everyone, and thank you for joining us today for an update on our business. Our financial results this quarter reflect the continued challenges facing our industry. I'm encouraged by the sequential improvement in our comparable store sales from the third quarter, the fact remains that we continue to battle through a particularly difficult housing backdrop throughout the quarter. Leading indicators such as existing home sales levels remain near historic lows. Although the near term remains uncertain, given the changing political landscape and how new policies will affect tariffs, consumer sentiment, jobs, and other factors that have an impact on demand for home improvement projects, we remain optimistic that we will eventually see recovery in housing turnover and an increase in demand for remodeling activity. During 2024, we took decisive actions to respond to challenging market conditions. This included closing one of our distribution centers, reducing staffing levels at our corporate office, and closing our trading company office located in China. We ended the year with no debt and $21 million of cash on the balance sheet. This keeps us in a strong position to navigate the current challenges facing our organization. In 2025, we intend to be very selective with any incremental investments and pursue initiatives to right-size the expense structure for our business. Given this sentiment, we do not currently plan to open any new stores in 2025. We also anticipate closing two unprofitable stores in 2025, which will bring our store count to 140 by the end of the year. During the fourth quarter, we continued to see improvement in sales volumes of our Superior product line. As a reminder, we relaunched our own private label Superior line of installation products this past June, seeking to, one, generate more opportunities to sell to our professional customers who develop a preference for using our high-quality, cost-efficient Superior products, and two, support ticket averages by improving attachment rates of installation products. While we continue to battle year-over-year declines in tile volumes sold, we saw growth in Superior volumes sold during the second half of 2024. This provides us with an important tailwind that we will look to build on as we move through 2025. We have also continued to make headway in our initiatives to expand our selection of entry-level competitively priced products. We believe this expansion of our assortment will help attract a wider spectrum of customers seeking to complete a remodel project, particularly those customers seeking to complete a smaller remodel project on a budget. We also believe the additional selection of entry-level priced products strengthens our competitive position with pros. I was pleased to see the improvement in year-over-year sales of entry-level opening price point products and even more encouraged by our ability to grow our average order value during the quarter given the success we are enjoying in this area. We still have more products landing in the first quarter and believe our assortment is in great position as we head into the 2025 spring selling season. In closing, we recognize the challenges facing our industry and are proactively taking measures to respond. We remain committed to curating the best assortment of tile products in the industry, giving our customers the ability to design a space that differentiates their home and providing exceptional service to all customers who visit our stores. We believe this strategy reinforces our value propositions and positions us well for our customers in 2025. With that, I'll now hand the call over to Mark Davis.
Mark Davis: Thanks, Cabell. Good morning, everyone. Fourth quarter sales at comparable stores decreased by 5.8%. The decrease in comparable store sales was due to lower levels of store traffic, partially offset by a modest improvement in average order value. For the year, sales at comparable stores decreased by 7.8%, primarily due to softer store traffic. We believe elevated interest rates have contributed to lower levels of existing home sales, weaker demand for home improvement projects, and the lower traffic trends we have observed in our stores throughout the year. Our gross margin rate decreased by 50 basis points to 64.2% during the fourth quarter of 2024. The decrease was due to elevated levels of inventory write-offs attributed to product transitions as we moved out of old product lines to make room for the new items Cabell noted in his comments. The increase in inventory write-offs was partially offset by our ongoing effort to source product at lower price points, which helped reduce our inventory costs. For the year, our gross margin rate grew 130 basis points to 65.7% during 2024. The improvement in gross margin during the year was driven by stabilizing international freight rates and the progress we have made lowering our inventory purchasing costs. Fourth quarter SG&A expenses of $51.9 million were $1.3 million lower compared to the fourth quarter in 2023. The decrease was primarily due to a $900,000 decrease in depreciation, a $700,000 decrease in variable compensation, and a $500,000 decrease in advertising costs, which were partially offset by an $800,000 increase in occupancy costs. For the year, SG&A expenses decreased by $2.5 million to $224.4 million in 2024. This decrease was largely due to a $3.5 million decrease in depreciation, a $3.4 million decrease in variable compensation, and an $800,000 decrease in advertising costs, which together were partially offset by a $3.2 million increase in occupancy costs, a $900,000 increase in IT-related costs, a $600,000 increase in transportation costs, and a $500,000 increase in audit and accounting expenses. Moving to cash flow activity, during 2024, we generated $27.1 million of operating cash flow, once again showing the cash flow generating power of our company. This drove an increase in our cash balance of over $12 million during the year. As of the end of the year, our cash balance is $21 million, and we had no bank debt outstanding. We believe we are well positioned to navigate the challenges of the current year with a great team, strong balance sheet, and the value propositions that differentiate our business. With that, Cabell and I are happy to take any questions.
Operator: Thank you. At this time, we will conduct a question and answer session. As a reminder, to ask a question, you will need to press... To withdraw your question, please press star one one again. Please standby while we compile the Q&A roster. I'm showing no questions at this time. I would now like to turn it back to Mark Davis for closing remarks.
Mark Davis: Thank you for listening to our earnings conference call. We anticipate filing our 10-K later today. Thank you for your interest in Tile Shop Holdings, Inc. Have a great day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.